Operator: Ladies and gentlemen, welcome to the Carlsberg FY 2025 Financial Statement Conference Call. I am Hillie, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Jacob Aarup-Andersen, CEO. Please go ahead.
Jacob Aarup-Andersen: Thank you very much, operator, and good morning, everyone, and welcome to Carlsberg's Full Year 2025 Conference Call. As said, my name is Jacob Aarup-Andersen, I'm the Group CEO, and I have with me our Group CFO, Ulrica Fearn; and Vice President, Investor Relations, Peter Kondrup. 2025 has been an eventful year. We executed on major initiatives that will shape the future of Carlsberg, while at the same time, we navigated through quite a volatile environment in the year. Let me summarize the key headlines for the year. We closed the Britvic transaction in mid of January. We upgraded synergy expectations and overdelivered on expected 2025 synergies. We delivered good underlying gross margin improvement, and we increased our capability investments across the company. As a consequence, we delivered continued solid profit development. We delivered operating margin improvement and improving cash flow and delivered at the top end of the guidance range. Finally, we increased adjusted EPS by 11%, and we are increasing dividends by 7% to DKK 29 per share. Before going into the usual presentation, I'm going to hand over to Ulrica, who will go through the changes to our reporting that has and will be implemented. Over to you, Ulrica.
Ulrica Fearn: Thank you, Jacob. And now please turn to Slide 3. So as you will have noticed in the release this morning, we have introduced Management-defined Performance Measures or MPMs in our review of the performance and the results. And this, we have done for 2 reasons. Firstly, due to the significant impact from amortization of intangible assets recognized in the PPA that is related to the Britvic acquisition; and secondly, as we're preparing for IFRS 18. So firstly then, Britvic has had a significant impact on the group's reported financial results. And as part of the purchase price allocation that is done in accordance with IFRS 3, a significant proportion of the purchase price was allocated to the Pepsi partnership to brands and customer relationships and all intangible assets that must be amortized. So for 2025, the amortization of these intangible assets amount to some DKK 640 million, and this is, of course, noncash. So the amortization of brands is reported in cost of sales, while the amortization of the Pepsi partnership and customer relationships is reported in sales and distribution expenses. In our internal management performance reviews, we don't include the PPA-related amortization. And therefore, to align the internal and external reporting, we provide reported figures adjusted for the PPA-related amortization. And these we call -- these figures we call MPM, and they are short for these Management-defined Performance Measures. And there is a full bridge of MPM and reported on Page 3 in the announcement and key figures are shown on the next slide. But just to make it perfectly clear, there is no change in our presentations in organic development. And then secondly, as you probably know, the new IFRS 18 reporting requirements will be the mandatory reporting framework from 2027. IFRS 18 will introduce requirements for subtotals, like operating profit, and they will include all income and expenses if they do not meet the definitions of investing, financing, income taxes or discontinued operations categories. And that means that IFRS 18 does not allow for the use of special items as these items has to be classified for the functional area where they derived. However, IFRS 18 do open up for the introduction of Management-defined Performance Metrics or MPMs, in order to improve clarity and consistency in the financial reporting. So to prepare for the new reporting requirements and avoid unnecessary confusion down the line, we have chosen to use this IFRS terminology for the PPA-related adjustments we have done in our 2025 announcement. And we plan then to be early adopters of the new reporting requirements already from this year. And that means that we will report half 1 in accordance with IFRS 18, and we aim to provide more information on what this means for our future reporting compared to the current framework at a later point. So then on Slide 4 then, we show the reconciliation of MPM with reported figures for 2025. Going forward, organic development and commentary will be based on changes compared to the previous year's reported MPM figures. MPM adjustments will be the PPA-related amortizations and from 2026, all IFRS 18 related adjustments. Consequently, MPM figures will be fully aligned with our internal KPIs, our incentive schemes and so on, and will reflect how we run our business. And we will reconcile all MPM adjustments, including the PPA-related amortization in a new line below EBIT, and this will be somewhat similar to what we today call special items. So with that, over to you, Jacob.
Jacob Aarup-Andersen: Thank you, Ulrica. Always great with an accounting class here. I appreciate that. So let's go to Slide #5 and a brief overview of the 2025 results. So we delivered very strong top and bottom line growth due to Britvic. Total reported volumes were up by 17.7%. Reported revenue grew by 18.8% and operating profit by 22.7%. The organic development was impacted by the loss of San Miguel in the U.K. from the 1st of January '25 and of course, the soft consumer sentiment across our regions. Given the challenging trading environment, we are satisfied that when you adjust for San Miguel, revenue grew organically by 1.1%. Volumes declined slightly, mainly driven by Asia. Our organic operating profit grew by 5% with an acceleration in the second half. Ulrica will go through the financials in more detail. So please go to Slide 6 for a few strategic highlights of 2025. 2025 was another busy year with many activities and strong progress on a number of our key priorities. Most significant was, of course, the completion of the Britvic acquisition in mid-January and the integration of this business. That started immediately upon completion. I'll come back to Britvic in a few slides, but I'm just going to repeat our excitement about this business and the significant opportunities it's created not only for the combined U.K. business but for the Carlsberg Group as a whole. One such opportunity was the Pepsi license in Kazakhstan and Kyrgyzstan. As highlighted during the year, a lot of work went into the preparations for what is an exciting expansion of our business. On the back of our strong results for the Pepsi portfolio, we were proud to be awarded European Bottler of the Year by PepsiCo. In the U.K., we were very successful in driving other premium world lager offerings to our customers and consumers in replacement of San Miguel. Of course, we didn't get there in the first year, but we've been very pleased to see the strength of our premium brands and the results that we can achieve with the right level of support. Poretti volumes more than doubled. That's a remarkable achievement in the mature and highly competitive U.K. market. In China, we continued growing the 1-liter can format in response to the growing importance of the off-trade channel. This pack format, which many of you saw at our Capital Markets Day in the fall, is designed to be shared amongst friends on social occasions, and it offers a crafty and premium look that stands out on the shelf. Two other exciting initiatives that will strengthen our brands in the coming years with the new multiyear UEFA sponsorship, which we announced back in March and the announcement in October that Robert Pattinson will be the global ambassador for 1664 Blanc. We advanced strongly on our digital journey with development projects across the business. As an example, in the commercial area, I want to highlight our new and advanced value management tools and the launch of the new and advanced online B2B platform, [ Served ]. Finally, it almost goes without saying that we continue the execution of our sustainability agenda, including carbon emission reduction initiatives and actions to reduce water consumption and replenish our water use in high-risk areas with solid progress shown in many areas. Slide 7, please, and our growth categories and international brands. As you can see on the slide, our 4 growth categories combined account slightly more than half of total volumes now. It was encouraging to see that all growth categories except the smaller Beyond Beer category delivered solid growth in 2025. Our premium portfolio grew by 5%, driven by good growth in all 3 regions. We saw particularly strong growth for Carlsberg and for local premium brands such as Wind Flower Snow Moon in China, Pirinsko in Bulgaria and Zatecky in Poland. Soft drinks more than doubled due to the Britvic acquisition and now accounts for 30% of total volumes. Soft drinks grew organically by 3%, supported by solid growth in Western Europe and the shipments in Q4 in Kazakhstan ahead of taking over the Pepsi license. We saw particularly good growth for the Pepsi portfolio in Sweden and Switzerland for the relaunched Tuborg Squash brand in Denmark and good initial results for the soft drinks launch in China. We also saw very good growth for Pepsi in the U.K. and Ireland. Alcohol-free brews grew by 4%. Excluding Ukraine, which is a large AFB market, volumes grew by 7%. Growth was broad-based across most markets in Western Europe and CEEI. While alcohol-free brews accounts for 4% of total group beer volumes, the category accounts for 7% of beer volumes in Western Europe and 5% in our Central and Eastern European markets. In 5 of our markets across Europe, AFB's share of beer volumes is around 10%. Beyond Beer volumes declined by 4%. We saw good growth for Garage, which for the first time exceeded the 1 million hectoliter mark and for Wind Flower Snow Moon in China, but this was more than offset by lower Somersby volumes. Looking at our international brands, total Carlsberg volumes grew by 4%, while the brand's premium volumes were up by 13%. The strong premium growth was driven by CEEI and Asia with very good growth in China, Laos and India. The mainstream volume growth was mainly thanks to the growth in the U.K. Tuborg volumes were up by 2%, supported by growth in China and many CEEI markets, in particular, India, Kazakhstan and Nepal. In January 2026, we announced a refreshed, bold brand identity, amplifying the brand's energy and modernity while staying true to its iconic roots. 1664 Blanc grew by 2%. We delivered solid growth in multiple markets, but the total volumes were impacted by Blanc's super premium price point in the large Chinese market, where consumer sentiment remained under pressure. Now let's move to Slide #8 and an update on Britvic. We're very pleased with this acquisition, and our first year of ownership has been excellent, both in terms of underlying performance, which was strong and the efficient and seamless integration. We began integration immediately after closing in January, and all people changes in the U.K. and Ireland related to the integration were concluded ahead of initial plans, and we're in the process of integrating procurement. We upgraded the cost synergy target to GBP 110 million at the Capital Markets Day on the 1st of October, mainly due to higher-than-expected people-related savings. The cost synergy delivery in 2025 amounted to approximately 30%. That was well ahead of our initial expectations of 10% to 15%. The synergies were achieved in both Britvic and the legacy U.K. business. And for clarity, that, of course, means that they contribute positively to both the P&L in both the organic and the inorganic contribution. That means included in the operating profit of Britvic of GBP 253 million and in the organic operating profit growth. The fast integration, of course, also meant that the integration costs in 2025 were higher than expected. Alongside the integration, we've had a razor-sharp focus on business continuity and sustaining Britvic's growth trajectory. That entails a step-up in commercial investments to support long-term growth. Britvic volumes in the U.K. grew by 4%, with particularly strong performance towards the end of the year, driven by very strong performance on the Pepsi brand, especially Pepsi Max. The Pepsi portfolio gained more than 1% volume and value market share, which is a stellar performance in a year of integration and strong competition. In Ireland, volumes grew by 3%. The Teisseire business in France performed worse than expected due to an inefficient cost structure. Just a couple of weeks ago, we made a joint announcement with the employee representatives regarding a comprehensive reorganization of the business as we had originally announced on the 16th of October last year. This reorganization will enable us to adapt the company to the challenges of tomorrow and ensure Teisseire's long-term competitiveness. Volumes in Brazil declined mainly due to soft demand and our own portfolio rationalization. We continue to optimize the long-term value of this business. Total reported volume and revenue contribution from Britvic and Carlsberg accounts were 24 million hectoliters and DKK 15.6 billion, respectively. The operating profit contribution was DKK 2.2 billion or GBP 253 million, slightly higher than expected due to the higher synergy delivery, but partly offset by lower profits in Teisseire in France. Please turn to Slide #9 in Western Europe. The region's profile has changed significantly following the acquisition of Britvic with soft drinks now accounting for more than 55% of regional volumes. Total reported volumes grew by almost 50% due to Britvic. Excluding San Miguel, volumes grew organically by 1.3% as a result of soft drinks and other beverages growth of 4.3% and almost flat beer volumes in Western Europe. Revenue per hectoliter improved organically by 1.1%, positively impacted by price increases and growth for premium and AFB, partly offset by channel and product mix. Revenue, excluding San Miguel, grew organically by 1.7%. Operating profit grew by 40% to DKK 7.4 billion. Organic operating profit grew by 0.7%. Cost initiatives across markets, Britvic synergies in the legacy U.K. business and certain compensations, including insurance indemnifications related to events that had a negative operating profit impact during the year more than offset the material net impact from the loss of San Miguel, and higher logistics costs and in the first half, higher IT costs. The operating margin was up by 40 basis points to 14.3%. Looking at key markets, it was a very busy year for our U.K. business due to the integration of Britvic and the significant efforts to replace the lost San Miguel volume. Excluding San Miguel, the business delivered high single-digit organic volume growth with market share gains in the on- and off-trade and strong growth for both mainstream and premium for brands such as Carlsberg, Poretti and Kronenbourg 1664 in both channels. The Nordic markets delivered low single-digit volume growth. We saw good growth for all growth categories except Beyond Beer. Total premium, AFB and soft drinks volumes delivered mid-single-digit growth rates in all 4 markets. We saw solid market share performance across markets and across categories. The French beer market was flat. Our volumes grew slightly, driven by premium beer and AFB. Mainstream beer volumes declined due to the continued softness of Kronenbourg, Red & White. Now Slide 10 and Asia. In Asia, where beer volumes declined by 1.5% as growth in China was more than offset by soft volumes in particularly in Laos and Vietnam. Soft drinks and other beverage volumes continue to be impacted by energy drinks in Cambodia and therefore, declined by 8.1%. Revenue per hectoliter increased organically by 1.3%, resulting in an organic revenue development of minus 1.2%. Operating profit grew organically by 0.7% and the operating margin improved by 60 basis points to 23.2%. The weaker organic operating profit development in the second half versus the first half was due to soft volumes in some markets and higher sales and marketing investments, particularly in China. Looking at the markets and starting in China, our volumes grew by almost 4% in Q4, supported by market share gains and on the back of easier comps. That led to full year volume growth of 1% in a market that declined by an estimated 1%. The volume and market share growth were driven by mid-single-digit volume growth in big cities and a growing presence in e-commerce and O2O. Our Western strongholds, which is predominantly mainstream and therefore, more exposed to the soft consumer sentiment, developed largely in line with the market. The channel shift to off-trade continues, in particular to e-commerce and modern off-trade and on-trade remains soft. Our premium portfolio continued to outperform, seeing strong growth for Carlsberg and for Wind Flower Snow Moon and solid growth for Tuborg and WuSu, supported by strong growth of our 1-liter cans. Revenue per hectoliter was flat as the premium growth was offset by the negative channel mix. During the summer, we increased our sales and marketing investments in China, and therefore, our market share improvement was more pronounced in the second half. Building on the successful big city trajectory, we intend to seed the handful of new cities in 2026. In Laos, consumer sentiment was severely impacted by the weak macro economy. Our full year volumes declined by mid-single digit, but with a stabilizing trend seen in the second half, we saw good premium beer growth fueled by Carlsberg, while mainstream declined. Our Vietnamese business was hit by a perfect storm in 2025. In the first half, the mainstream Huda brand lost market share and its stronghold in the central part of the country due to an intense promotional activity in the market. And at the same time, we went through a reorganization of our route to market in the South. In Q4, Central Vietnam was hit by heavy rainfalls and floodings, which, of course, had an adverse impact on our volumes. The rainfalls and floodings in November in Vietnam last year were the heaviest in the history of the country with the heaviest rainfall ever. On the back of all of this, full year volumes declined double digit with an improving trend in the second half. As we continue to improve our business in Vietnam, we expect volume growth to resume in 2026. Then we move to Slide 11 and the CEEI region, which delivered strong results for the year. Reported volumes grew by 8.6%, positively impacted by the consolidation of our business in Nepal, the inclusion of Britvic's Brazilian business and the sell-in of Pepsi products in Kazakhstan in Q4. The organic development of minus 0.6% was impacted by the soft market conditions across the region. Revenue per hectoliter improved by 3.3%, thanks to price increases and a positive product mix. Consequently, reported revenue grew by 10.4% and 2.7% in organic terms. Operating profit grew by 13.6%, supported by organic growth of 9% and acquisitions. The very strong organic profit growth in the second half was the positive result of tight cost control, supply chain savings and also certain compensations, including insurance indemnifications related to events that had a negative operating profit impact during the year. Operating margin strengthened by 50 basis points to 19.0%. If we look at the key markets in the region, we had another good year in India. Our business delivered high single-digit volume growth following a strong end of year performance. We strengthened our market share in most of our states, and we saw very strong growth of Carlsberg Elephant and continued solid growth of Tuborg Strong, which is our largest brand in India. We launched 1664 Blanc early in the year, and the brand has come off to a good start. I would, at this point, like to mention that we are exploring different options for increasing shareholder value, and that may potentially include an IPO of our business in India, but no final decision has been made at this time. It was a very difficult year in the Ukraine with war activities intensifying, particularly in the second half, creating an increasingly volatile and unsafe environment for people across the country. Consequently, our volumes declined by double digit, but our market share was flat. We're very excited about our business in Kazakhstan, where we are now a combined beer and soft drinks player after the takeover of the Pepsi license. Our volume growth was in the mid-teens with good results for the alcohol-free brews, Beyond Beer and the local mainstream brand. We were able to start early shipments of Pepsi products already in Q4, and this led to very strong growth for soft drinks. Volumes in our export and license business declined slightly. We saw good growth for Carlsberg, Kronenbourg 1664 and our alcohol-free, Moussy brand in the Middle East, but this was offset by soft Tuborg and Somersby volumes. And with that, back to you, Ulrica.
Ulrica Fearn: Thank you very much, Jacob. And now let's go to Slide 12 and the P&L. So the reported revenue was, of course, positively impacted by the inclusion of Britvic, which meant that revenue grew by 18.8%. And the organic development was minus 0.6%. But as Jacob already explained, this figure was impacted by the loss of San Miguel in the U.K. and without which the organic revenue growth would have been plus 1.1%. The currency impact was minus 2.0% and mainly due to currencies in Asia, Ukraine and Kazakhstan. Revenue per hectoliter was up organically by 1.4% as a result of price increases and also a positive category mix. And we continue to work to deliver supply chain efficiencies that mitigate inflation and help cost of sales per hectoliter to be flattish and rebuild gross margin to enable the growth investments that we do in brands and commercial activities. And cost of sales per hectoliter increased organically by slightly less than 1% as these efficiency improvements offset most of the inflationary pressure and the product mix impact and the underabsorption of fixed costs from lower volumes. Group profit per hectoliter increased organically by 2% and resulted in an organic improvement in gross margin of 30 basis points. And as expected, gross margin MPM declined by 60 basis points to 45.2%, and this is due to the consolidation of Britvic that came in with a lower gross margin. We increased sales investments organically by 5%, mainly due to the higher level of activity in China and in preparation for the takeover of the Pepsi business in Kazakhstan. And as expected, reported marketing over revenue was down by 50 basis points to 8.3%, and this is due to the inclusion of Britvic. Operating profit MPM grew by 22.7%, of course, significantly supported by the Britvic acquisition. And organic operating profit grew by 5%. And as you will have noted, we saw quite a sequential improvement from half 1 to half 2, and this was due to expected higher synergy delivery from Britvic and cost initiatives as well as certain compensations, including insurance indemnifications, which related to events with negative operating profit impact during the year. Reported special items amounted to minus DKK 1.9 billion. And the main items here were the Britvic-related costs, restructuring charges and impairment costs, and this was across all 3 regions. Special items MPM includes the PPA-related amortization and amounted to minus DKK 2.6 billion. And you can find the specification of special items in Note 4 in this morning's release. Net financials were minus DKK 2.4 billion. And excluding currency gains and losses, these financial items amounted to minus DKK 2.2 billion. And this was an increase of DKK 1.1 billion and due to the significantly higher net interest-bearing debt. The effective tax rate was 22.9%, and this is in line with our expectations. Adjusted net profit MPM was DKK 8 billion, and adjusted earnings per share NPM grew by 11.1% to DKK 61, and this was positively impacted by the consolidation of Britvic and organic operating profit growth. So now to Slide 13, please. The free operating cash flow amounted to DKK 7 billion versus DKK 6.4 billion in 2024 and with the main driver here being the higher EBITDA, thanks to Britvic, but also organic operating profit growth. The change in trade working capital was plus DKK 730 million. And although we saw a significant improvement in trade working capital in Britvic, it is below the level of Carlsberg. And therefore, average trade working capital to revenue for the year declined as expected, ended at minus 15.6% on a rolling 12-month basis. And looking at the Carlsberg Group, excluding Britvic, average trade working capital to revenue was stable at minus 20.1%. CapEx then amounted to DKK 5.6 billion, and this is below our initial expectation, but it is equal to 6.3% of revenue, and this is in line with our general guidance for CapEx, which is to be 6% to 7% of revenue. And as with all other cost items, we do actively manage CapEx to align with the revenue development. And CapEx was in particularly impacted by the expansion investments in India and Vietnam, the building of the new soft drinks plant and sales investments ahead of taking over the Pepsi license in Kazakhstan. Net interest-bearing debt was, of course, impacted by the acquisition of Britvic and amounted to DKK 61.6 billion. Net interest-bearing debt to EBITDA was 3.28x, and we maintain our expectation of reaching our leverage target of max 2.5x net interest-bearing debt to EBITDA by the end of 2027 at the latest. Return on invested capital MPM was 10.8% and mainly impacted by the Britvic acquisition. Excluding goodwill, return on invested capital MPM was 30.9%. So then to Slide 14 and the proposed dividend for the year. At the Annual General Meeting in March, the Supervisory Board will propose another step-up in dividends to DKK 29 per share, which is an increase of 7%. We have been very clear that we are maintaining our dividend policy, which stipulates a dividend payout of around 50% of adjusted net profit despite temporarily being above our leverage target of max 2.5x net interest-bearing debt to EBITDA. The proposed dividend equals an adjusted payout ratio of 48%, so in line with the policy. We are increasing dividends while at the same time reducing leverage from the pro forma level of 3.4x at the time of the acquisition. And as a reflection of the financial performance of our business, dividend per share has more than tripled since 2015 when it was DKK 9, as you can see here on the slide. And this is a reflection on an increased payout ratio and doubling of earnings per share over the past 10 years. And we expect dividend per share to continue to grow in line with adjusted EPS. And as soon as the financial leverage is below 2.5x, we will aim to be there at later -- no later than by the end of 2027, as you know. And then we can again return cash -- excess cash to shareholders through share buybacks. And now Slide 15 and the full year earnings outlook. 2026, we are expecting here to be relatively stable but subdued consumer environment. We also expect that the volatile and uncertain environment will stay with us for some time due to the geopolitical situation, and that will impact consumer sentiment and behavior in many of our markets. We will get some volume support this year from the takeover of the Pepsi license in Kazakhstan and Kyrgyzstan, which will add approximately 1.5 percentage points to the organic volume development. And we continue to see inflation through the P&L. And for COGS, we expect to mitigate the underlying inflation and achieve flattish COGS per hectoliter through our continued focus on delivery of supply chain efficiencies. On SG&A, we implemented a number of cost initiatives in half 2 2025, and we will keep this tight focus on SG&A costs and expect a slight increase in marketing investments and higher capability and digital investments. And then while the integration of Britvic is ahead of schedule, positively impacting 2025, our expectations for 2026 are unchanged, and we expect to deliver 30% to 40% of the GBP 110 million cost synergies then. Consequently, we have -- we expect to have delivered up to 60% to 70% of cost synergies already after 2 years of ownership. And as a result of all this, we expect an organic operating profit growth of 2% to 6% on operating profit MPM in 2025, and that was DKK 13.996 billion. Please note that in the announcement also include a similar guidance on reported organic operating profit growth, and this is due to regulatory requirements. And based on yesterday's FX rates, we assume a translation impact of around DKK 100 million negative for 2026. And please note that we've ceased the hyperinflation in Laos in July 2025. On financial expenses, excluding foreign exchange losses or gains, it's expected to be around DKK 2.2 billion. The reported effective tax rate is expected to remain around 23% and CapEx is expected to be DKK 6 billion to DKK 7 billion. And with that, back to you, Jacob.
Jacob Aarup-Andersen: Thank you so much, Ulrica. Before we open up for the Q&A, let me just summarize the key highlights of 2025. First and foremost, we closed the Britvic transaction, and we upgraded synergy expectations and overdelivered on expected 2025 synergies. We delivered good underlying gross margin improvement and increased our capability investments across the company. We delivered continued solid profit development, operating margin improvement and cash flow growth, and we delivered at the top end of the guidance range. We increased EPS by 11%, and we increased dividends by 7% to DKK 29 per share. I'm sure you may have many questions as always, but can we please limit the number of questions to 2 per person to ensure as many as possible, get a chance to get through. After your questions are welcome to join the queue again. And I think with that, let's take some questions.
Operator: [Operator Instructions] The first question comes from the line of Trevor Stirling from Bernstein.
Trevor Stirling: Two questions from my side, please. The first one, Jacob, concerning China, you had 1% volume growth for the full year. But what do you think your read on the exit rate from China coming out of Q4 and into the first few weeks of 2026? And some of the high-frequency data is looking a little bit more encouraging, particularly for mainstream beer. And second one, maybe for Ulrica. Ulrica, with guidance, I hesitate to use the word cautious, but you've got Britvic synergies coming through, that's probably a 2% boost to operating profit. There's something coming through from Kazakhstan as well. And in that context, your 2% to 6% looks prudent, should I put it that way?
Jacob Aarup-Andersen: Thank you, Trevor. Let me start, as you suggest on China. So listen, you know us, we don't give monthly exit rates, et cetera. But there's no doubt when you look at Q4, we're quite pleased with the performance in Q4. So we did 4% growth in Q4. Of course, we had easier comps as well, but it was clearly better than the market. What drives it is, I think you can put it down to 3 things. It's -- our big city growth continues to be strong. We're doing well in the channels that are clearly the winning channels. So that's O2O and it's e-commerce and it's convenience. And then the third element is some of the new winning formats. We've also been playing that well. So 1-liter cans, of course, is the most clear one of that. So I think those 3 elements are important. As we go into '26, I'm not going to give you a status on January numbers, but you say, overall, as we look at '26, we think the consumer is stabilizing. We're not giving you any euphoric statements around China suddenly changing growth trajectory. But we think we're seeing a stable beer market, which gives us opportunity to perform. We're also, of course, looking at a year where, as always, it will be interesting to see also what policy measures we may see, et cetera, around stimulating the consumer. But overall, the way we're set up the strategic approach we've chosen in China, we've proven in the last quarter again that there's growth to be had for us, continued growth to be had for us. And as we look at 2026, I think that continues. So we would expect to see growth out of our Chinese business in '26. I'm going to be cautious around how the consumer is going to develop through the year. You know us, we prefer to start the year a bit conservative, and I'll do that as well when I look at the Chinese consumer. So -- but with the environment we're in right now, we do expect to be able to deliver growth also in '26 in China. I'll hand it over to you, Ulrica, on the guidance question.
Ulrica Fearn: Yes. Thank you, Trevor. And I think, well, Jacob just mentioned it around China. You are right. We are in the very early time of the year. The world, when you look around, remains pretty uncertain and volatile. So we are a little bit conservative given where we are in the year. But you are also right, there will be support through Britvic synergies coming in, giving us 200, a little bit more basis points of support. We do have one negative against that. I guess, we do have the Carlsberg boom, which is our property gain in 2025 that we talked about, which sits in the half 1. So that goes a little bit against us. But other than that, we do also expect some increase in our marketing investments and a bit pressure on SG&A from both underlying inflation and IT capability building projects that we continue even in these environments. So albeit, as you also know, we try to offset those by efficiencies. So all of that gives you a little bit of color on the uncertain and volatile world and why we are maybe early in the year a bit conservative with a 2% to 6%.
Operator: We now have a question from the line of Sanjeet Aujla from [ Calstock ]. The next question comes from the line of Simon Hales from Citi.
Simon Hales: So my 2 questions, please. My first one is just on Britvic, Jacob. But I wonder if you could just talk a little bit more about the performance of the business in Q4, particularly in the U.K., some of the share and brand, sort of trends and momentum you saw? And also, you talked a little bit about how having Britvic now in combination with that broader beer business in the U.K. is enhancing your relationships with the key retailers? And is that meaning anything because you've come into this year's price renegotiation rounds in U.K. and the rest of Europe? So that's my first question. And then secondly, just on Kazakhstan and the Pepsi license. Can you say how much of an impact those early shipments had on Q4? And how do we think about the build of the rollout of Pepsi in Kazakhstan over the first half of this year and 2026 more generally?
Jacob Aarup-Andersen: Simon -- we don't know what happens to Sanjeet there, but I'm sure he will try to come back. But thanks for stepping in so far. Listen, let me speak to the Britvic question, and then Ulrica will talk to Kazakhstan. So on Britvic, listen, if you look at the performance, you asked specifically around Q4 as well. We're very pleased with what we saw in the U.K. in Q4. The U.K. volumes were up 7% in Q4, and we saw a very strong performance, especially from the Pepsi brand. When we look at our December, so the 4-week rolling in December, which, of course, is a very important month for all of us, the Pepsi Max took more than 2% value share in December. So really strong performance in the fourth quarter. We're not going to extrapolate that as the new run rate. But there's no doubt that, of course, in the fourth quarter, our business started being more unconstrained as the integration -- the initial integration efforts were over. So there's no doubt that the team was more able to focus purely on the commercial side of things. So quite pleased to see the performance in Q4 and a very, very strong holiday period as well. We said from the beginning that we think there is a lot of the potential to unleash in the Pepsi brands, and we're really seeing that play out, especially as we move towards the end of the year. So strong performance there, but it's also strong performance from a number of the breakthrough brands, whether it's Plenish, whether it's Jimmy's, those types of brands also doing very well. 7UP Pink Lemonade has also been a very strong performer. So a number of brands carrying that Britvic performance in Q4, but really, really strong, as you point to. In terms of the key retailers, I'm not going to specifically comment on the negotiations. They are, of course, tough as they should be because we -- everyone needs to fight their own corner. But I think we're having very strong strategic partnership discussions across the board. It's really -- it's given us a different vantage point post the Britvic acquisition. And it's great to see the partnership discussions we're having with the major retailers also around innovation pipelines, not just for the next 6 months, but for the next couple of years, being able to plan more strategically around also major launches of new products and thinking shared business plans to a larger degree. So we are excited about what we're seeing in the U.K. I think many people would have expected that 2025 would have been a transition year. But I have to say when you look at the numbers, it's very strong numbers already in '25. And as we go into '26, we do think that we can continue the strong momentum given the relationships that are being built. That doesn't mean that I'm guiding for Q4 run rate to just be the run rate going forward, but at least it's a taste of what we can achieve with this business. So very pleased with the first year of Britvic. Over to you, Ulrica, on Kazakhstan.
Ulrica Fearn: Yes. So a few comments on that, Simon. So yes, we did agree with PepsiCo to take over the license already in Q4. So there were some volumes coming through towards the end of Q4. It's a small proportion of the total, but there are some. And if I then lean into 2026, as we mentioned earlier on, about 1.5% group volume growth will come from the top line of -- supported by Kazakhstan as we ramp up. And it is a little bit hard to say because there's uncertainty due to dependency of co-packers and it's a pretty long supply chain there. And -- there is always, of course, market reactions as well as you come to market. But so far, no major hiccup. So we are -- that 1.5% group volume growth at the top line is what probably is the most likely at this point in time. And I will also say that -- take the opportunity to say that we are producing, as you heard with co-packers, so outside Kazakhstan. So our facility is not up and running yet and we will, therefore, have not had any profits in 2026.
Jacob Aarup-Andersen: But there is no news...
Ulrica Fearn: There's no new news. Same as before.
Operator: The next question comes from the line of Sanjeet Aujla from UBS.
Sanjeet Aujla: A couple from me, please. Firstly, on Western Europe, your volumes in beer were minus 9% in Q4. I appreciate San Miguel might be a bigger impact, but can you just walk us through the underlying dynamics in Western Europe beer? What's really down in Q4? How you're thinking about it into '26? My second question is around the potential IPO of India. Can you just walk us through the strategic rationale for that? Is it just to pay down debt? Or what are the benefits would you anticipate from an IPO?
Jacob Aarup-Andersen: Sanjeet, good to get you back online. So that's good. Let's just take your 2 questions. So first of all, on Western Europe. So yes, you're right that if we look isolated at beer in the fourth quarter in Western Europe, so the trend was worse than it was in the quarters before. There are 2 reasons for that, if I can be very high level. One is we had a major conflict in one of our countries in October, November and into December. That conflict has been closed and resolved, and we're back on the shelf in December. But there was a major conflict there that impacted us. And then the other one is San Miguel. The impact of San Miguel was more pronounced in Q4 if you look at the year-on-year comps than it was in the 3 other quarters. So it's a combination of that conflict and then the San Miguel impact. Your other question on India. So you're right, we are today confirming the intention to explore an IPO of India, and we have not made any final decisions yet on that. It also, unfortunately, restricts me from a legal perspective in terms of what I can say and not say around that. But I can -- so what I can say is that this exploration is due to -- is driven by our aim to create shareholder value. So we are assessing this on the back of assessing whether we can create shareholder value. So it's purely driven from a shareholder value perspective. And the assessment we're doing right now is whether it's -- it will create adequate shareholder value. Beyond that, we cannot comment more around the potential IPO. If we do make a decision to go ahead, of course, we can be more specific. But at this stage, that's all we're saying. But it's shareholder value-driven, the deliberations.
Operator: We now have a question from the line of Olivier Nicolai from GS.
Jean-Olivier Nicolai: A couple of questions. First of all, you're running ahead of schedule on the cost synergies on Britvic. I was wondering if you could perhaps quantify the potential revenue synergies as well that you could see, whether it's in the U.K. or also about exporting some of Britvic brands like Jimmy's or London Essence into some European markets? And then secondly, just on the CapEx guidance, DKK 6 billion to DKK 7 billion, so for 2026, an increase compared to '25. Is there any new greenfield brewery there? Or how should we think about CapEx in the long run?
Jacob Aarup-Andersen: Olivier, I'm going to disappoint you on the first one, and you probably knew I was going to say this, but we're not going to quantify the revenue synergies. I think we -- as we said in the past, I think with the way we want to be measured on revenue synergies is if you look at market growth rates, we need to be able to beat those market growth rates across categories, and that's how you measure the revenue synergies. We've seen enough car crashes around the companies giving specific revenue synergy targets because it becomes very difficult to separate hot and cold water, and we don't not want to end up being that type of company. So we're giving you cost synergies. We're delivering ahead of plan on them, and we will continue to power ahead on delivering value to you through the cost synergies. And then the revenue synergies will play out in the coming years. I think it's quite clear. also if you just look at the Britvic performance, but our Carlsberg Britvic performance, both on the soft drinks and the beer side towards the end of the year, you're seeing that there are revenue synergies clearly coming through here. But we do think that we've only so far we're only scrapping the surface. So we think there is significant revenue synergies in the coming years from this. And as you say, part of those will come longer term from some of these excellent brands migrating to other countries. What we have made very clear is that our 100% focus for the team has to be to go and overdeliver, as we've now said to you on the cost synergies. And then before everyone gets distracted by wanting to launch brands in other markets as well. You will see in the coming time that there will be some of the brands starting to travel. And we will let you know as they launch. But for now, the focus still has to be on delivering on the execution plan in front of them. I don't want people to get too distracted. But revenue synergies is clearly there. And I think the last couple of quarters have only put 2 lines under the potential that's there. Ulrica, on the CapEx?
Ulrica Fearn: Yes. On the CapEx, no, there's no major greenfields in there. The main spend this year will be on maintenance, et cetera, but also capacity and commercial expansion rather than greenfield. There is also a little bit of an inclusion of CapEx continuation in Kazakhstan, where we had to also purchase a new site. So there's a little bit of spillover from that into 2026, but that all fits into that guidance we've given of DKK 6 billion to DKK 7 billion for 2026.
Operator: The next question comes from the line of Edward Mundy from Jefferies.
Edward Mundy: Two questions, please. So the first is on top line. I know you're not guiding on top line, but are you able to comment on how you think about fiscal '26 relative to your medium-term run rate of 4% to 6%. Western Europe seems to put a firmer footing. You've got Britvic in the organics. San Miguel drag is gone. Asian markets moving in the right direction. You've got the Kazakhstan boost. I'd love to get your sense on your growth for fiscal '26. And then the second question is really picking up on your point around getting recognition as the European Pepsi Bottler of the Year. Could you comment on how conversations are progressing around opening the door for further Pepsi licenses?
Jacob Aarup-Andersen: Ed, good to speak. Let's start with the top line. So if you look at the top line, you know and you also said it yourself, we don't provide an annual guidance on revenue growth. The 4% to 6% ambition is a through-the-cycle ambition. If you look at it, if we just look at the components of it, so first of all, we don't expect any major change in consumer sentiment. When we look at our business plans and when we look at the guidance we've given you, we're not assuming any change there. So we are assuming a subdued consumer environment in most markets. So let's see how that develops. You're right, the Pepsi business in Kazakhstan is going to have a positive impact. It's going to drive, as Ulrica said earlier, around 1.5% volume growth. Then we do expect continued growth of our growth categories. So that's premium, that's soft drinks, that's alcohol-free, and we should also see Beyond Beer moving back into growth. So -- and as you know, that's now a bit more than half of our entire business, these growth categories. Then there are markets where we have easier comps for '25. That's Vietnam, as an example, of course, Q3 in India, we had bad weather in Poland, some big markets. But we also have some markets that are tough comps like we had great weather in the Nordics and U.K. And then Ukraine is a question mark. We simply -- no one knows how that will develop during the year. Then you have the World Cup in football. Of course, we're going to do football-related activations. I'm pleased to see that a lot of our countries have qualified. So that's good. Our home market is still struggling, but we'll take that in another conversation. But the timing of matches is not ideal for European and Asian consumers. So it's more -- as always, I will caution that weather is more important than football for us in the summer as always. And then we're taking price increases in most markets as well. If you look at that, I think we have quite a constructive setup for 2026. The consumer will be a key variable, of course, consumer sentiment, but it is a constructive setup, and we are expecting both volume and revenue growth in 2026, but I am not going to put a number on it. We -- as you know, what we guide you for is how we convert that into earnings growth, and that's what you heard about the operating profit growth. Then you asked about more Pepsi opportunities. Listen, we have not been shy around the fact that we have a great partnership with Pepsi. We've been very pleased with the how that has developed over the last couple of years. Kazakhstan is off to a good start. Britvic is off to a fantastic start as a relationship. We're seeing good performance across our different markets. So very pleased with that. And yes, we do have conversations with Pepsi around potential further opportunities. So that is progressing. I would be surprised if we don't come back to you during 2026 with some updates on that. But of course, these things take the time they take. The important thing for us is we don't want to just add more countries because we feel any type of pressure from people like you, Ed. We want to add countries that create value for our shareholders. And that's -- this is not a flag setting exercise. It's not about having as many flags on the map as possible. Every single market, it has to make sense for our existing business. It has to create true value for our beer portfolio and therefore, creating those multi-beverage synergies in the market and creating stronger moats around our beer business. And we see some opportunities in front of us. We're having good conversations on those, and let's see if anything happens. We -- I would think we will come back in '26 with some news on that. But we'll leave it at that.
Operator: We have now a question from the line of Soren Samsoe from SEB.
Soren Samsoe: Just a couple of questions. A follow-up on Britvic. Quite impressive integration so far, but what parts of the integration has been going faster than you originally planned for? And will this lead you to adjust the original target of 5-year obtaining the synergies to maybe a shorter period? And then secondly, an accounting question for Ulrica. You are preparing for IFRS 18, you say. But to my knowledge, then you -- that gives, you say, a different way of defining special items, so you will need to bring some of them above the EBIT line. Could you maybe elaborate a little bit on how this will impact your numbers going forward in terms of special items and maybe other items that you have looked at?
Jacob Aarup-Andersen: Soren, thank you for that. Let me take the Britvic question, and Ulrica will go into the depth of accounting, which is lovely. Listen, on Britvic, you're right, we are ahead of plan, which is great. And when you look at the original 5-year horizon, I think at this stage, we are going to realize the synergies faster than the 5 years. That's the expectation. When you look at it at the end of this year, we will have delivered between 60% and 70% of the cost synergies. And then there is a tail, that's correct, but we don't think that tail will be 5 years anymore. So -- which is very pleasing because, of course, we're also at a stage where we want the business to focus on driving commercial outcomes and not focusing on driving cost synergies. So the faster we can execute on this, the better. And you can say the majority of the people-related synergies are fully in the numbers now that we've guided you for. What we're looking at right now, so it is also people-related synergies that have gone faster than expected. What the focus is on now and which is the remainder of the synergies is basically procurement and logistics. And on the procurement side, the reason why there was a tail is that part of some of the procurement is renegotiation of major contracts that may have a duration. So we need to wait for them to expire before we can renew them. Because overall, that sale is becoming shorter. And you're right. So we will do this faster than the 5 years. But the guidance for this year stands with the 30% to 40% realization of cost synergies, which we're very pleased with. Ulrica, on the MPMs?
Ulrica Fearn: Yes. So the question was on the IFRS 18 and the special items and how that relates. Yes, it is -- you're absolutely correct. IFRS 18 means that basically you have to put back special items to where they -- in the category which they belong. So for this year, our MPMs includes taking away the amortization of this intangible assets. But as I talked about, but for 2026, when we implement this IFRS 18, we will also show a track as to how we add back the special items and then come back to pretty much the same number as where we were before, but through the MPM metric rather than the definition we had before. So this is all done, to be able to compare and come back to the same place where we have special items and amortization adjusted for, if that makes sense. And we are doing this early now just to introduce some of this terminology right now as we had to change anyway. And rather than to change to something now and then to something else later on, we will just continue to use the same terminology and adjust with what IFRS 18 will expect from both us and others to do in the future. Hopefully, that's clear.
Operator: The next question comes from the line of Andre Thormann from Danske Bank.
André Thormann: I just have 2 questions as well. First question is maybe a bit on the longer term here. Can you maybe talk a little bit about how you see the underlying organic EBIT growth potential for Carlsberg? If you strip away everything that is related to new contracts in Pepsi and potential Britvic synergies, et cetera. So if we strip away that, how does the underlying organic EBIT growth profile looks for the company longer term? And then my second question is related to Q4. So I'm just curious how much of the organic EBIT growth or maybe in 2025 as a whole is easier, is driven by essentially synergies from Britvic that was from, yes, the Carlsberg U.K. business that Jacob alluded to in the beginning? That's my questions.
Jacob Aarup-Andersen: Andre, so on the underlying EBIT growth, so of course, first of all, I'll make the statement that you know I will always make, which is you will never ever get a year where there's no impact from anything. But of course, if you look at the underlying, also because we -- you say the added Pepsi contracts, et cetera, et cetera, that's all adding organic earnings growth to the business as well. But if you look at it, we firmly believe in our growth algorithm, and we firmly believe that this business should be delivering 4% to 6% revenue growth. And as that -- in that algorithm, we believe that it should be delivering a higher EBIT growth than 4% to 6%. So our algorithm is pretty clear around that. The -- and as such, we don't see any change to that. So the 4% to 6% top line growth or revenue growth needs to convert into a higher EBIT growth, and we don't see any change to that. That's also what we are confirming again and again also when you look at this year. Then I'm fully aware that -- and I also -- I read your research, which is excellent, but I'm also aware that you would have liked a slightly higher guidance. But as Ulrica has already answered the guidance question earlier today around how we start out the year with the uncertainties in front of us. But we do have undiminished belief in our growth algorithm, which is that conversion. Then on the -- the impact from inorganic on synergies, it's slightly less than 1% of our EBIT growth. So if you look at the 5% EBIT growth we just delivered, it's slightly less than 1%, which is driven by synergy realization on the organic side. We are not going to go into the exact math on it, but we can obviously track that because we can see where the synergies are being realized. And it's natural when we are combining 2 major businesses that some of the synergies will be in the organic business. Do remember that the Britvic U.K. business was significantly bigger than the Carlsberg U.K. business. So of course, there would also be synergies on the Carlsberg side of things as well. So slightly less than 1% total contribution to the 5% growth.
André Thormann: Can I just ask a quick follow-up on the first answer you gave, Jacob. It's just to be sure, this higher EBIT -- organic EBIT growth than the 4% to 6% volume growth that you guide, isn't it true that, that will be significantly lower if you strip away Britvic synergies and Pepsi?
Jacob Aarup-Andersen: I'm not sure why I should strip away Pepsi because Pepsi is part of our business, and it's organic. It's...
André Thormann: [ Contracts ] and Pepsi, sorry.
Jacob Aarup-Andersen: Well, if I'm adding Pepsi into a market, it's like adding a -- launching a new beer into a market. It's an organic. We're adding a category. We're adding a product to our business. So -- when we're looking at organic business, it's not different than from that perspective. And by the way, not to go into a long discussion on it. But by the way, when you look at Kazakhstan this year, I think Ulrica said it earlier, it's not adding any material EBIT growth for us. So over time, I think Pepsi growth is, of course, part of our organic growth. When we are acquiring something, it should be inorganic until it's introduced. Synergies from Britvic is incredibly important. But of course, our underlying business needs to deliver. So of course, I fully contend to what you're saying around synergies. That's a specific element. And if you look at the long term, of course, you're not going to have synergies every year playing into that. But these businesses are our growth businesses. When you look at our categories, our growth categories are all helping us deliver within the algorithm. So we're super excited about the growth potential that this portfolio gives us.
Operator: We have now a question from the line of Laurence Whyatt from Barclays.
Laurence Whyatt: A couple from me, please. Firstly, just on the U.K. business, good to see the good results you're getting through there. Of course, we've seen a lot of news in the U.K. press around the difficulties the hospitality industry is facing. And one of your peers in the distribution space has already sort of commented on that with one of their recent announcements. Just wondering if you're seeing any issues within the U.K. market, if you've seen any deterioration over the past couple of months and going into 2026? And secondly, it's also great to see your success in soft drinks in the Nordic market. I was wondering if you could split that out between the areas where you've got Coke contracts and Pepsi contracts and perhaps comment on how the relationship is with Coke as you embed yourself further with Pepsi, whether anything has changed there or if that continues to be a very strong relationship.
Jacob Aarup-Andersen: Laurence, so no, we do understand what it is you're referring to from a peer in the market. So if you look at the U.K., there is no doubt that on-trade is going through a difficult time or the hospitality industry is going through a difficult time. We don't think we're seeing a step change, just to be clear. It has, as a channel, been under pressure for quite a long time, but we're not seeing a step change. We're not going to go that far. If you look at it, we're quite pleased with the fact that we've been taking market share in both on-trade and off-trade. But as channels go, there's no doubt there's more pressure on on-trade than off-trade, which is, let's be honest, that's a trend we're seeing across most markets. I know it's getting a lot of attention in the U.K., but it's what we're seeing across most markets. Part of this is, of course, cyclical. I'm not going to wait into a bigger political debate around the U.K. market as such. And of course, I'm fully aware there are some structural debates around also the conditions for the hospitality industry. So -- but overall, we don't see a step change. We're not flagging that it's deteriorating at a faster pace than it's done over the last couple of years. So we have our own momentum at the moment. We've taken market share in on-trade, driven especially, as you know, with the focus we've had, especially around Poretti and 1664. And then Carlsberg, Danish Pilsner has done quite well in that channel as well. So we see -- in on-trade, we see continued opportunities for us also as we bring the combined portfolio into the on-trade space. So of course, we hope it stabilizes, but I'm not going to flag a significant step change in trend in recent months. You asked about the Nordic region. We don't split Pepsi versus Coke. We don't do that for legal and competitive reasons. So hopefully, you can bear with me on that. So I'll focus on your -- the second question you had. But I would say that, listen, we're seeing good soft drinks performance in all 4 markets, that I can say. But I'm not going to be specific on market versus market. You spoke about the Coke relationship. Listen, we have a fine relationship with Coke. I keep reminding you that we have for 30 years, almost been operating Pepsi and Coke in the Nordic region in different markets. And that, that has been a peaceful coexistence in those markets. As long as we're delivering for our partners in these markets, it hasn't been a major issue. So we still have good relationships with Coke. We have longer-term contracts with them. And I think that's basically it. So unchanged messaging on that.
Operator: The next question comes from the line of Richard Withagen, Kepler Chevreaux.
Richard Withagen: I have 2 as well, please. First of all, on the U.K., you mentioned high single-digit volume growth for the organic business, excluding San Miguel. I guess your beer brands have benefited from the soft drinks distribution and to some extent, also from the loss of the San Miguel brand. So on the existing brands, how should we think about the potential for further market share gains in 2026? And then the second question is on your objective to reduce debt. What is the main focus to generate cash flow organically and thereby reduce debt? And also, besides the India IPO consideration, are you considering other inorganic initiatives to lower debt?
Jacob Aarup-Andersen: Richard, let me talk to the U.K., and Ulrica will speak to the net debt. So you're right, if you look at '25 performance, we're quite pleased with how the beer brands were doing. If you look at it, Poretti more than doubled. 1664 in the U.K. had high teens growth. Blanc almost doubled and Brooklyn had mid-single-digit growth. And at the same time, Carlsberg had mid-single-digit growth. So very pleased with that. Of course, that strong performance. Part of that was, of course, driven by some outlets where it was easier to replace San Miguel, et cetera. And as we go into '26, that tailwind will be harder, of course. We do expect the brands will continue to drive growth. Market share growth will likely be less than it was in '25 due to that effect. But we do see quite strong momentum behind our brands and especially Poretti and 1664. Ulrica, on the net debt?
Ulrica Fearn: Yes. So the question around continuing deleveraging, what we're doing organically, we expect to continue to reduce the debt through 2026 and much of that will be organically. And it will be the traditional levers. I mean the big one being really driving EBITDA growth in terms of getting the leverage down, that's a big impact, so focus on growth. But then the other one on the other side, operational free cash flow, we are continuously working on trade working capital, every lever there is. And this is in the organic business, but it's also in Britvic, where we feel there's a little bit more work to do. And we are also, on top of that, to your question, investigating whether there are other inorganic opportunities that we can look into. So any cash-generating opportunities we will look into to make sure we continue this trajectory that we started. And I can say it's so well ingrained into the business. We've also put an additional incentive scheme in place to make sure we drive the focus on this in the short term when it's so important. So you'll see a combination of the 2, but the organic being a very big focus for 2026.
Jacob Aarup-Andersen: And with that, I'm told that we have one last question. So let's do that.
Operator: So the last question comes from the line of Thomas Lind from Nordea.
Thomas Lind Petersen: So also 2 questions, a bit sorry, accounting here. Just the other operating activities, you recorded, I think, DKK 550 million positive in '25, significantly above the last couple of years. That's almost 5% basically your entire EBIT growth for '25 is recorded here. Can you just elaborate a little bit on what is this? And then also going forward, is it then fair to assume that it will be like the past couple of years? So basically, I guess, around DKK 50 million, DKK 100 million. So I guess, a significant headwind into next year? And then the 2 other questions, I guess, or one other question, a bit more also accounting, amortization, DKK 640 million, DKK 25 million, special items, DKK 1.9 billion. How should we think about this going into '26? Is it fair to assume that it's sort of the same levels? That would be my question.
Jacob Aarup-Andersen: Thanks, Thomas. Good to end with a bit of accounting. So I appreciate that. I hope you're well. I'll do the OOI and then Ulrica will speak to the technicalities of the PPAs, et cetera. So you're right, OOIs are higher this year. They are for some very specific reasons. You say the majority of the OOIs, and I think this is a very important point. The majority of the OOIs, they are basically a wash for the year. because most of these OOIs are compensation for events that have happened during the year and has impacted our EBIT negatively. So basically, the compensations then get booked on OOI, while the negative EBIT impact is, of course, non-OOI, but it's basically a wash. So we understand that the OOI line looks bigger this year, but it's driven for those reasons. So most of it is basically a wash on the year. A few examples just to make it concrete. We had major floodings in Italy in the first half. You know our brewery was completely out and the insurance was received in the second half. We had a work kettle implosion in France in the first half, which had significant impact on our business and insurance again received in the second half. And we had a major breakdown in Sweden, a bottle washer, which basically took us out of capacity. And again, insurance received in the second half. So we had a number of these things where we had reported EBIT losses that were then compensated by OOI. In the end, it's the same and it's within the year. So it's basically a wash. So we know the number looks big, but it's very clearly basically a wash on the lines. And if accounting was looking different, you wouldn't even notice it because it would just be netting each other out. That also -- you're right that we don't expect that level of OOI next year. Of course, we can never -- given the things I've just explained to you, of course, we cannot predict those types of things. So it could be high next year, but we don't expect it to be as high next year. And that also means when you look at our 2% to 6% guidance, of course, the OOIs are not going to be repeated. So of course, that's also -- that makes the guidance -- gives also some perspective on the guidance and shows the ambition within that. So we're not being helped by the OOIs in the guidance for 2026. Ulrica, on the PPA?
Ulrica Fearn: Yes. So that's -- I think it was on the amortization and the special items together, the DKK 2.6 billion. So the DKK 640 million that is the amortization is easy to answer. That will be the same coming in next year. It's an amortization that we now will face. And then in terms of the rest of it, which is about DKK 1.9 billion, that's about half of it is related to Britvic and then the other half of it is related to restructuring. And of course, these are special items and costs that we've incurred to drive benefits into the future. So we're expecting that to be a lot lower next year. But again, special items is one of these items that hard to predict, but these are extraordinary levels.
Jacob Aarup-Andersen: We have made the second largest acquisition in our history. So of course, you will see special items in a year like that. Okay. I think with that, operator, I think we -- that was the last question. Thank you so much for your interest. And as always, we look forward to seeing many of you in the coming days. So until then, have a great day.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.